Operator: Greetings and welcome to the Reliance Steel & Aluminum Company’s Third Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brenda Miyamoto, Investor Relations. Thank you. You may begin.
Brenda Miyamoto: Thank you, operator. Good morning, and thanks all of you for joining our conference call to discuss our third quarter 2016 financial results. I'm joined by Gregg Mollins, our President and CEO; Karla Lewis, our Senior Executive Vice President and CFO; Jim Hoffman, our Executive Vice President and COO; and Bill Sales, our Executive Vice President of Operations. A recording of this call will be posted on the Investors section of our website at investor.rsac.com. The press release and the information on this call may contain certain forward-looking statements, which are based on a number of assumptions that are subject to change and involve known and unknown risks, uncertainties or other factors which may not be under the Company's control, which may cause the actual results, performance or achievement of the Company to be materially different from the results, performance or other expectations implied by these forward-looking statements. These factors include, but are not limited to those factors disclosed in the Company's Annual Report on Form 10-K for the year ended December 31, 2015 under the caption Risk Factors and other reports filed with the Securities and Exchange Commission. The press release and the information on this call speak only as of today's date and the Company disclaims any duty to update the information provided therein and herein. I will now turn the call over to Gregg Mollins, President and CEO of Reliance.
Gregg Mollins: Good morning, everyone, and thank you for joining us today. I continue to be very pleased with our operational performance. After six consecutive quarters of increases in our non-GAAP FIFO gross profit margin. Our margin in the third quarter declined slightly to 30.0% from 31.1% in the second quarter of 2016. However, we believe that 30% level is still outstanding and came in above our expectations. As we communicated to you during our last call, our second quarter FIFO gross profit margin of 31.1% included incremental margins achieved because of multiple mill price increases that were announced during the second quarter that allowed us to increase our selling prices before receiving the higher cost metal in our inventory. While we maintain the higher selling prices during the third quarter, our inventory cost also increased, offsetting the incremental margin gains. The pricing discipline of our managers in the field, along with diligent inventory management and our significant investments in innovative, value added processing equipment contributed to our ability to achieve a 30% non-GAAP FIFO gross profit margin in a weakening pricing and demand environment. As a result of the multiple price increases announced by the mills throughout the second quarter, mainly for carbon steel products, our third quarter average selling price was up 4.4% over the prior quarter, above the high end of our guidance range of up 1% to 3%. However, the positive metals pricing environment began to lose momentum as of third quarter progressed and prices have continued to decline thus far into the fourth quarter. The trade cases filed by the U.S. producers coupled with production capacity discipline by the same mills continue to be supportive of domestic pricing. However, overall software demand experienced in the third quarter along with normal seasonal factors heading into the fourth quarter have contributed to current pricing pressure, most notably for carbon steel products. Bear in mind, our average selling price for the first nine months of 2016 was down 9.5% from the same period in 2015, which has a significant impact on our earning levels. As far as demand goes, well it has been lighter so far in quarter four and overall not as strong as we had originally anticipated heading into 2016, we believe customer demand levels are generally healthy and inventory positions are lean. Our tons sold for the third quarter declined by 4.9% from the second quarter of 2016, which was above our expectation of down 1% to 3%, but consistent with MSCI industry average decline of 4.9%. Overall, demand for metal products weekend into third quarter more than we have anticipated, which we believe was due to decreased metal pricing, as well as general economic and political uncertainty. We believe our exposure to a broad array of products and end-markets helps mitigate declines in any one market. The automotive and aerospace markets continue to be strong for us while other markets are not performing as well. Our diversification strategy together with our decentralized operating structure, investments in value added processing equipment and focus on customers service, have once again contributed to our ability to increase Reliance’s market share. For the first nine months of 2016, we outperformed the industry with our same store tons sold down only 2.7% compared to the first nine months of 2015 versus the MSCI industry average shipments which were down 6.8% in the same period. Our gross profit margin continues to benefit from our focus on inventory management, with our 2016 inventory turn rate of 4.6 times, nearing our Companywide target of 4.7 times. We believe an efficient inventory position benefits are gross profit margin by allowing us to focus on higher margin business. Our successful reduction of $433 million of inventory in 2015 and further reduction of $95.5 million to the first nine months of 2016 has generated significant cash, which we’ve used to invest in value added processing equipment and to acquire higher margin companies, both of which enhanced our gross profit margins. We believe one of our strengths at Reliance is to focus on the areas of our business that we can control and to quickly react to changes that are outside of our control. As we’ve communicated on prior calls, our energy business has declined significantly as a result of the down turn in oil prices and drilling activity that began near the end of 2014. Although, we have consistently reacted to the declines in this market, we made the decision during the third quarter of 2016 to close a few of our facilities and take asset write downs on certain of our business servicing the energy market as our long-term outlook depurated from our view year ago. As a result, we’ve recorded a $67.3 million pre-tax impairment and restructuring charge in third quarter. We do not take these actions lightly, due to the impact to our employees and customers. But we believe they are necessary to enhance our overall operating efficiencies and long-term profitability. Turning to M&A, we are very proud of our track-record of completing the acquisitions of 62 quality companies since our 1994 IPO. Three of those were completed this year, Tubular Steel, Best Manufacturing and Alaska Steel Company. Our most recent acquisition which closed effective August 1st was Alaska Steel. A full-line metal distributor that broadened our geographical reach with our first entry into the Alaskan market. Alaska steel provides steel, aluminum, stainless and specialty metals and related processing services to a variety of customers in diverse industries throughout Alaska, including infrastructure, energy and mining. Since joining the Reliance family, all three of these acquisitions have been performing in-line with our expectations from both end operational and profitability perspective. And our pipeline for potential future opportunities remain strong. We focus on companies that are well run and fit our diversification strategy often providing specialized products and high levels of value added processing services. As we look to the future, we expect to stick toward tried and true growth strategy focused on both acquisitions and organic capital investments. These capital investments are made possible by our strong cash flow generation. I'll let Karla dive into the specific shortly, but as I think about our capital allocation priorities, we expect to continue to return accessed cash to our stockholders through the payment of quarterly dividends. We most recently increased our regular quarterly dividend by 6.3% effective for the third quarter of 2016, marking the 23rd increase since our 1994 IPO. We have consistently paid regular quarterly cash dividends for 57 consecutive years. Before I conclude, I would like to extend my welcome to our two new members of the Reliance Board of Directors, Karen Colonias and Douglas Stotlar both joined the Board as independent directors at the beginning of October increasing the size of the Board from nine to 11. Both of these directors are already highly engaged and we look forward to benefiting from their extensive Board and management experience. In summary, despite the ups and downs we have experienced in this year pricing environment, I command our managers for their phenomenon ability to execute throughout all cycles. I’m pleased with our financial performance for the third quarter, which was characterized by ongoing pricing discipline as well as effective expense and inventory management. For the balance of the year and into 2017, we will continue to stay cores with the focus on growth through organic investments and acquisitions as well as continued strong operational execution. I'll now hand the call over to Jim to comment further on our operations and market conditions. Jim.
James Hoffman: Thanks Gregg, and good morning everyone. I'll begin by commenting on both pricing and demand for our carbon steel and alloy products as well as our outlook on certain key end-markets we sell those products into. Bill will then address our aluminum and stainless steel products and related end-markets. Demand for automotive remains strong at current production rates. We services this market mainly through our toll processing operations in the U.S. and Mexico. We continue to increase our volume process for the automotive industry at strong rates mainly because the increased demand for aluminum used in automotive. We began processing aluminum in the automotive industry in 2015 and since then we have continued to increase both our processing volume and capital investments in this area. In 2016, we have added equipment in our existing locations to support increase aluminum processing and will opening a new facility in Kentucky in mid 2017 to support both aluminum and steel processing in that region. As announced on last call, our new facility in Mexico commenced operation in July to support increased automotive activity in that area. We anticipate we will have this facility running at close to capacity by early 2017. As Gregg discussed, we remained committed to our focus on growth and our businesses that serve the automotive market are very well positioned from a capital perspective to continue pursuing organic investments. With our processing volumes increasing at a rapid rate, we will continue to add incremental capacity as we see best fit to drive improved profitability. Third quarter demand in heavy industry which includes railcar, truck trailer, ship building, barge manufacturing, tank manufactures and wind and transmission towers was down compared to the second quarter of 2016 levels. Heavy industry include, sales to agriculture equipment OEMs, which has been a weaker area of that market. That said, due to our exposure to mostly small and mid-sized agriculture equipment versus a larger equipment, we have been able to mitigate some of the negative sales impact. In addition, we are hopeful that demand trends in the road construction equipment market may improve in 2017 due to the five-year infrastructure bill that was passed in December of 2015. Demand in non-residential construction market has been characterized by steady upward growth with improvements in our tons shipped. We anticipate the slow but steady growth in demand will continue to improve in 2017. The volume is still far below peak levels. As such, we are continuing to invest in processing equipment for the business we sell into this market to ensure we are providing a highest possible level of service to our customers. Increased volume would be absorbed into our existing cost structure as this end market improves overtime. Demand for energy, which is mainly oil and natural gas remains weak during third quarter due to continued low levels of drilling activity. That said, there has been some encouraging signs and new activity taking place that leads us to believe we are at or near the bottom of this downturn. For our managers in the field our quarterly activity improved during the quarter and since May rig counts were up about 30%, when drilling rigs start backup again, but we will well position to support this activity. That’s said, due to the changes in global markets as well as advancements in technology that have made drilling for oil and natural gas far more efficient than in the past with potentially less fuel required, we have further reduced our long-term outlook for this recovery in our businesses servicing and energy industry. As a result, we recorded a pre-tax impairment and restructuring charge in the third quarter mainly [indiscernible] with the close over of the few facilities and assets write downs related to certain of our businesses servicing the energy end market. Pricing for carbon steel products was generally higher in the third quarter, due to multiple mill prices increases announced during the second quarter that allowed us to raise our selling price. However, carbon steel prices began trending downward during the third quarter and we see that trend continuing into the fourth quarter. I echo Gregg’s comments that the multiple carbon steel trade cases filed in the U.S., and production capacity discipline, our domestic producers have been generally supportive of domestic pricing. However, the overall softening in demand in the third quarter and normal seasonal factors impacting demand in the fourth quarter are pressuring prices. Lastly, for alloy products, the majority of which are sold into our energy end-markets, base prices have continued to decline, though at a slower rate than demand. I will now hand the call over to Bill to comment further on our non-ferrous markets. Bill.
William Sales: Thanks, Jim. Good morning, everyone. Today, I will be reviewing pricing and demand for our aluminum and stainless steel products. I will also touch upon some of the key industry trends in the markets we sell these products into. Before that I would like to congratulate our managers in the field for managing through this difficult pricing environment. Keep up the good work. I will begin with aerospace, which continues to be a strong end-market for Reliance. There have been negative reports of slowing demand in this market, but we expect that most of these changes will impact the aluminum producers more than they will impact our business. We consider build rates, lead times and backlog to be key indicator of help for the aerospace market. Looking ahead to the fourth quarter, we have been seeing some downward adjustments on build rates, primarily in the twin-aisle wide body jet business. We expect these adjustments to remain somewhat steady through the remainder of the year. Lead times have shortened significantly since January, when we saw lead times of about 11 to 17 weeks with very tight supply. Today, we’re experiencing lead times of about seven to nine weeks and supply is much more available. However, the backlog for orders of commercial planes remains very healthy. In addition in 2017, we will begin supporting the five-year, $350 million Joint Strike Fighter program. That will add to our already strong aerospace presence. Based on these trends our outlook in the aerospace market remains positive. The majority of these products that we sell to the aerospace markets are heat treated aluminum products especially plate as well as specialty stainless steel and titanium products. As stated, no lead times for heat treated aluminum plate have shortened since the second quarter, which has put some pressure on pricing. As a result, we expect to see some pressure on margins for both aerospace and general engineering aluminum plate for the remainder of the year. Common alloy aluminum pricing has remained stable and volume has increased modestly. Most of our common alloy aluminum products are sold to sheet metal fabricators that support a variety of end-markets. Pricing on common alloy sheet follows ingot and we expect some modest improvement as the Midwest spot price trends up slightly. Turning to stainless steel products, demand for our stainless steel flat products, which are primarily sold into the kitchen equipment, appliance and construction end-markets remains strong. Stainless steel pricing improved somewhat on solid demand. Pricing for stainless steel products is heavily impacted by nickel prices which have been improving modestly on a sequential quarter basis. We expect to continue to see some improvement in nickel pricing in the fourth quarter. Thank you for your time and attention today, with that I'll now turn the call over to Karla to review our third quarter financial results. Karla.
Karla Lewis: Thanks Bill and good morning everyone. Our sales in the third quarter of 2016 were $2.2 billion, down 4.4% from the third quarter of 2015 with our tons sold down 2.7% and our average selling price per ton sold down 1.8%. On a same store basis, which excludes the sales of the three companies we acquired in 2016 our tons sold were down 4.0% and our average selling price was down 2.3% year-over-year. Compared to the second quarter of 2016, our sales were down $18.7 million or 0.8% with the 4.9% decline in our tons sold mostly offset by 4.4% increase in our average selling price per ton sold. Although, metals pricing began to decline in the third quarter of 2016 our average selling price was higher because of the price increases that occurred in the second quarter and held through most of the third quarter. Our non-GAAP FIFO gross profit margin was 30.0% in the third quarter of 2016 compared to 31.1% in the second quarter of 2016 and 26.5% in the third quarter of 2015. Since the fourth quarter of 2014, we increased our FIFO gross profit margins in each successive quarter through the second quarter of 2016. The sequential decrease of 1.1% in our non-GAAP FIFO gross profit margin in the third quarter was expected. In the second quarter of 2016, we were able to expand our gross profit margin as multiple mills price increases were announced, allowing us to push through the higher price to our customers and advance to receiving the higher cost metal in our inventory. During the third quarter of 2016 as we received the higher cost metal in our inventory prices leveled off and then began to decline somewhat, eliminating the margin expansion achieved in the prior quarter. With that said we are very pleased with our gross profit margins and overall operational performance. Metal pricing has a significant impact on our sales and earnings levels. And although metal prices improved in the second quarter of 2016 our average selling price for the first nine months of 2016 was still 9.5% or $153 per ton below our average selling price for the first nine months in 2015. This reduced our sales by about $680 million also reducing our gross profit dollars, most of which would have fallen to our operating and pre-tax income amounts. However, because of our 340 basis point increase in our gross profit margin to 30.2% in the first nine months of 2016, we earned approximately $220 million more gross profit dollars than we would have earned at our nine months 2015 gross profit margin of 26.8%. In other words, compared to the first nine months of 2015, we generated more gross profit dollars in the 2016 period on $680 million less sales, demonstrating the positive impact of our higher gross profit margin. We currently anticipate a declining metal price trend to begin in the third quarter to continue through the fourth quarter with our inventory costs at the end of 2016 expected to be lower than at the end of 2015. Until this time, we had anticipated that our inventory cost at the end of 2016 will be generally the same as of the end of 2015 resulting in no LIFO inventory valuation adjustment for 2016. But because of our updated outlook; however, we now estimate a pre-tax inventory evaluation adjustments of $15 million of income for the 2016 year with $11.3 million included in cost of sales in the third quarter of 2016, compared to a pre-tax LIFO credit or income of $35 million in the third quarter of 2015. We did not record a LIFO inventory evaluation adjustment in the first half of 2016. As a percent of sales, our SG&A expenses were 20.8% compared to 18.8% in the third quarter of 2015 and 20.7% in the second quarter of 2016. On a year-over-year basis, the slight increase as a percent of sales was primarily due to lower metal prices in tons shipped. However, when excluding the non-GAAP charges our SG&A expense declined by $3.7 million or 1.6% in the third quarter of 2016 from the prior quarter. Our operating income margin during the third quarter of both 2016 and 2015 were impacted by impairment and restructuring charges mainly related to our businesses servicing the energy end-market and pre-tax amount of $67.3 million in 2016 and $55.5 million in 2015. Excluding the restructuring and impairment charges, our non-GAAP operating income margin was 7.3% in the third quarter of 2016 up from 6.9% in the third quarter of 2015, mainly because of our higher gross profit margin. Our effective income tax rate for the third quarter of 2016 was 28.2% compared to 32.1% in the third quarter of 2015 and 32.7% in the second quarter of 2016. Our projected annual effective income tax rate for 2016 is 27.5% down from 31.1% in 2015. Net income attributable to Reliance for the third quarter of 2016 was $49.5 million or $0.68 per diluted share. Our non-GAAP diluted earnings per share were $1.25 in the third quarter of 2016 compared to $1.16 in the third quarter of 2015 and $1.36 in the second quarter of 2016. Please refer to our earnings release issued earlier today for a reconciliation of our non-GAAP adjustment. And now turning to our balance sheet and cash flow, because of our excessive working capital management and strong gross profit margins, we generated $182.4 million of cash from operation during the third quarter of 2016 and $387.6 million during the first nine months of 2016. Our 2016 year-to-date inventory turn rate at September 30 with 4.6 times or 2.6 months on hand based on times. This is just below our Company wide inventory turn goal of 4.7 turns. As previously announced on September 30, we entered into a new five-year $2.1 billion credit agreement comprised to the $1.5 billion on secured revolving credit facility and $600 million on secured term loan. In terms of the new credit agreement are substantially the same as our prior credit agreement including pricing. We intend to use borrowings on our revolving credit facility to its higher $350 million or 6.2% tenure on secured notes, when they mature on November 15, 2016, which was expected to create pro-forma interest expense saving of approximately $15 million per year on a go forward basis. At September 30, 2016 our total debt outstanding was $2.1 billion and our net debt to total capital ratio was 32.2%. As regard of our new credit agreement, we have ample liquidity to continue funding our growth in stockholder return activities with $1.1 billion available and $1.5 billion revolving credit facility. We used our strong cash from operations to both grow the Company and return value to our stockholders. In addition to [trending] the three acquisitions we’ve completed so far in 2016 for totaled $349 million. We used our cash from operations and borrowings on our credit facility to fund $110.6 million of capital expenditures. Primarily on purchases of new equipment to increase our value added process and capability and to pay quarterly cash dividend totaling $89.5 million to our value stockholders. Now turning to our outlook, we continue to believe that the U.S. economy is generally healthy and we anticipate the continued slow recovery. However, given the increased uncertainty in the market at this time, along with fewer shipping days in the fourth quarter due to holiday related customer closures, we’re cautious in regards to both business activity level and metals pricing in fourth quarter. We estimate tons sold will be down 5% to 7% in the fourth quarter 2016, compared to the third quarter. We also expect that metals pricing for most of the products retail will continue to experience downward pressure in the fourth quarter. And therefore, we expect our average selling price will be down 1% to 3% from the third quarter of 2016. As a result, we currently expect non-GAAP earnings per diluted share to be in the range of 65% to 75% for the fourth quarter of 2016. In closing despite the quarter that was characterized by softer than anticipated demand in metals pricing, we continue to be very pleased with our overall financial performance. Our managers in the field have once again exceeded our expectation. That concludes our prepared remarks, thank you for your attention. And at this time, we would like to open the call up to questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Jorge Beristain with Deutsche Bank please proceed with your question.
Jorge Beristain: Hey guys well thank you for taking on head on I guess the issue about the aerospace feedstock but I would like to dive a little bit more deeply into that and could you just clarify why you believe the impacts will be harder on the manufacturers than the service center that’s my first question?
Gregg Mollins: Yes a lot of the business particularly on the larger planes is mill direct. Things like wing skins, future light skins, wing plate so we will see a bigger impact at the mill level versus our model where we are supplying cut to size just in time. Some markets over a particularly in Asia it's more of a full plate market and the mills - its more mill direct business.
Jorge Beristain: Okay, that makes sense. And if you could just talk about if you are seeing an inflection on the horizon in steel prices perhaps, I just hopped of a call with steel dynamics they seem to be hopeful that things were kind of bottoming and just seeing if you are seeing any kind of mounting evidence that buyers maybe starting to anticipate maybe a fourth quarter infection coming.
James Hoffman: As far as we can see with scrap potentially going up has gone down a little bit. And there has been a reflection of that on price discounting on the carbon steel side with the exception of the $30 ton increase on plate that Nucor announced just recently which remains to be seen if that been a hold or not we hope it does but it's still not out there. As far as pricing is concerned, we are just going to have to wait and see, it appears that imports are not as strong as they were last year. However, they are still in the marketplace. So with demand going down last quarter compared to the second quarter 4.9% for us in tons, and we are anticipating 5% to 7% down in the fourth quarter. Demand is softer than we would like it to be, softer than we thought it would be. Pricing generally follows demand level so we would love to see a price increase in particular on flat rolled products. We think it would be appropriate to kind of stop the bleeding if you will, but we are not the mill, so we are just hopeful that their discipline will work out over the long haul. But none the less we can control what we can control and the bottom line is Reliance is doing just fine and will continue to do so, but there is thing that are out of our control and demand is one of them and pricing from the mill level is the other one. So we will just wait and see and we will do exactly what we have been doing in the past. We can control our inventories, we can turn this best in possibly gain. We are going to manage those gross profit margins as best we possibly we can, I think our people on the field have done a marvelous job in doing that. So we are just going to keep our business model in place and continue to do the best job we possibly can in talk and tackling and I think we have proven that through many years.
Jorge Beristain: Okay, thank you very much.
Operator: Our next question comes from the line of Aldo Mazzaferro with Macquarie. Please proceed with your question.
Aldo Mazzaferro: Hi good morning. I was wondering on the volume question, whether you can say whether it be the decline you are seeing are resulting from anything like higher prices or people shifting manufacturing offshore in response to the fact that U.S. pricing is so much higher than the little bit large. Can you comment on that? And whether you are seeing any kind of regional pattern to where the weakness seems to be showing up in the fourth quarter?
Gregg Mollins: Aldo, this is Gregg, how are you doing?
Aldo Mazzaferro: Great, great how are you, Gregg?
Gregg Mollins: Good. Listen we are not seeing any manufacturing okay, moving overseas, none of that would impact our fourth quarter. We are just seeing some uncertainty in the market place with our customer base. They have seen declining prices, they don’t know if it has hit bottom or not, so they are buying for need only, which kind of does well for us, because we can deliver next day on just about everything. So I think our management team believes that there is just uncertainty, it's economic uncertainty, it's political uncertainty, people are just buying absolutely what they need and no more. But we also believe that the inventory levels are there at customer base, okay as well as our peers are in pretty darn good shape. So 4.6 time turns for us, it's hasn’t hit our goal but it's one tenth, 1% below of goal. So I would not model in that there is any material change with respect to manufacturing going offshore. In don’t believe that’s taking place, I haven't heard anything from the field or from our VPs about that. So it's just as bad as that word is uncertainty that really is the word.
James Hoffman: And Aldo, this is Jim. And on the positive side the energy market has been [indiscernible] ever, but it’s only been a couple years. Here actually we are seeing some positive signs, their quotes coming in, getting orders that haven't been there for a while, positive talk for 2017, dollars that will be spent in incompletion of rigs and [indiscernible] about that.
Aldo Mazzaferro: All right. Okay thanks. I mean then often I’ll stay on for maybe another one later. Thanks.
Gregg Mollins: Thanks.
Operator: [Operator Instruction] Our next question comes from line of Phil Gibbs with KeyBanc. Please proceed with your question.
Philip Gibbs: Hey good morning. Gregg I have a question just on the daily demand momentum through the third quarter and then what you are seeing here early in fourth quarter. How would you characterize that intra quarter time last quarter and then what you are seeing in October?
Gregg Mollins: Well, Phil it was softer in that third quarter than frankly any of the spot. We recognized the fact the July 4 holidays and all that but we thought we would see some recovery, normally we do in August and frankly that did not happen. September normally recovers a little bit more on average daily sales basis than August does that didn’t materialize. So we guided I think 1% to 3% down in tons sold, compared to second quarter and ended up close to 5%, that was disappointing, we have not so far seen a recovery which is why our guide $0.65 to $0.75 may be somewhat disappointing to some people. But it’s realistic as far as we’re concerned and given the fact that we’re projecting about a 7% decline in our tons sold in the fourth quarter compared to the third quarter, which was down 9% compared to the second quarter. So one thing about Reliance that you will always know, okay is we tell it like it is and we don’t shoot or quote anything.
Karla Lewis: Yes and we read a lot of the headlines this morning, I spoke about there about the disappointing Q4, which on certainly and EPS numbers are but, I think to Gregg’s point being down 5% to 7%, fourth quarter historically down 5% to 7% or even 5% to 10% in volume. Last year in 2015 on quarter to quarter tons were down 7% compared to the third quarter and we are not on much in third quarter but, so to us the demand trend being the down it is, is not really ordinary. We wish it was stronger, our average selling price Q4 last year to Q3 was down 4.5%, and we are guiding downwards of 3% last year. And we’ve tried I think over the year and I think so you get it, but we really tried to make people understand, how important the shipping day is in a service center business. And we have less shipping days in the fourth quarter that even if demand stays relatively steady we’re going to shift fewer tons, because our customers are closed. And so we expect to still operate very strong in the fourth quarter, still hitting our gross profit margin, turning our inventory, doing all the things that we do well. But just given the market trends that are out there our earnings are going to be down a bit and our fourth quarter earnings per share always fall off significantly and for last year from the third quarter to fourth quarter and this year although seeing as disappointing is really not that much different then prior year trends.
Philip Gibbs: I appreciate that and Karla, I may have missed it but did you give any color on what you anticipate the fourth quarter, gross profit margins are going to do, is it imply that they are going to be down a little bit with pricing?
Karla Lewis: Yes, it’s our expectation and we talked a little bit in the second quarter when we hit the 31.1% gross profit margin that there was some impact in there from the rising prices that we didn’t think would be sustainable. We saw kind of our first quarter gross profit margins levels that were 29.4% or something that could be sustainable in the current environment. The environment has gotten a little worse, but we did come in above that in Q3. And so I think from Q4 just given the market fundamentals we expect there may be a little lessening of the gross profit margins in the fourth quarter from the third quarter but not too significantly.
Philip Gibbs: Okay and then I just have one operational question and I'll jump off I appreciate this. Jim, the alloy shipments were up in the third quarter versus the second quarter that’s something at we were expecting, was that based on the some of the comments that you are making on the energy side in terms of finally starting to see a little bit of pull through in oil patch?
James Hoffman: Those are project with couple of really big orders up in Canada that we decide to get involved with it to help with our [indiscernible], so nothing concrete, I wish I can tell you yes but nothing.
Karla Lewis: And that’s kind of the normal seasonality in the Canadian markets.
James Hoffman: The ground has to freeze up there [indiscernible].
Philip Gibbs: All right. Thanks so much. Have a great day.
Operator: [Operator Instructions] our next question comes from line of Timna Tanners with Bank of America Merrill Lynch. Please proceed with your question.
Timna Tanners: Yes, hey good morning guys.
James Hoffman: Good morning.
Timna Tanners: So clearly fourth quarter we do - it seems like often forget the sequential of the clients are consistent as you point out, but I think it's still the third quarter that surprised us. Sorry for hopping on it again, but I was wondering if you wouldn’t mind going into a little bit more color on what you are seeing in terms of your auto customary reminding that’s how much exposure you have there. I know it's relatively small. And also we are seeing some slowness there, is that something you are hearing. And then on your aerospace forecast and the way you are thinking about that market are you factoring in down [indiscernible] build rates?
Gregg Mollins: Well to addresses the automotive Timna, we are doing very well in automotive. We have invested more this year, we are actually bought on another line I think in what the end of the second quarter. So we have not seen any slowdown except for the fact that July there is some maintenance shutdowns at some of the auto makers but that’s normal. So we are doing well in auto and we foresee that to continue, I mean anything in the $17 million build rate is extremely strong. So we are not complaining about our investments or the profitability of the companies that we have that are servicing the automotive business.
James Hoffman: We also bought - our new plant in Mexico came online in July and doing quite well.
Gregg Mollins: Yes that’s a good point Jim, I forgot about that. We opened up a facility and Monterrey, Mexico servicing the automotive industry and that plant opened up July 1. We moved some business that we were doing about 80 miles way in Ramos down to that plant. We expect that plant to be doing very well sometime in the first half of 2017.
Karla Lewis: And remember even in auto units build rate were to level off, we have been and through our investments and our position to process aluminum we have been picking up a lot of new business additional following business because we can process steel [indiscernible].
Timna Tanners: Okay that’s fair. All right and then I wanted to ask a question I think I have asked before, but it’s still kind of hot topic I think with the prevalence of a lot of the mini mills continue to invest in fabricating and making a focus on fabricating a lot more of their own metal. Are you seeing them infringed on any of your potential acquisitions or potential - are they starting compete a little bit more, are there still plenty of options for you to enter into more fabricating options as you discussed in further M&A opportunities?
Gregg Mollins: No, they haven't infringed in our space, really I mean Nucor, just recently bought tubing mill, Independence. And that’s probably a good thing for the industry. Hopefully it's a good thing for Nucor, obviously we wish them well. But as far as then getting into the service center industry any of the mills, we haven't seen it, we don’t anticipate to see it, it's not getting in the way of our M&A outlook. So as far as we are concerned it's a non-event.
Timna Tanners: Okay. Great, thank you.
Operator: Our next question is a follow up question from Aldo Mazzaferro with Macquarie. Please proceed with your questions.
Aldo Mazzaferro: I just had a quick question on the balance sheet, the credit line and the term loan that you put in place at 30 September, I think that’s not on the balance sheet as the date of September 30th, correct?
Karla Lewis: So we did closed it out September 30, so we did the refinancing and so yes it’s good to switch, so you would see the switch from really you are not going to see anything on the balance sheet, because it's all in long-term debt. It's just little more allocated to the term loan now and so revolving credit facility which shows up on the same line in the balance sheet.
Aldo Mazzaferro: Okay, so could you briefly tell us what the strategy was behind refinancing there?
Karla Lewis: Yes, so we have the $350 million worth of senior notes that mature in November, and so we looked at the market to either refinance or to pay down that $350 million through a new bond issue or on the bank line, the bank market does have a lot of capacity now. The rates on the bank line are certainly more attractive and more accretive to our earnings per share than a new bond issue would have been. So really it was at driving higher earnings and having the availability within the bank market that allowed us to do it. We also are revolving credit line in our existing term loan, would have been maturing - it would become current at the beginning of next year in April. So we would have been out in a bank market at that anyway, so it become current. So the timing works out and again the main driver was just for more attractive pricing to drive higher earnings per share.
Aldo Mazzaferro: At this time are you are expecting any sizable acquisition transaction to happen in the industry over the next 12 months [indiscernible] something that would move the needle?
Karla Lewis: I think the acquisition pipeline continue to be pretty active than what we are seeing are a lot smaller acquisitions, some that make sense that are attractive to us, a lot that are a little outside of real house that we are not that interested in or they don’t meet the financial criteria that we look for. So we are still looking at a lot of transaction, we haven't been seeing a lot of the larger transaction, but some of the smaller transactions are extremely strong performers. It’s on a smaller base but they drive very high returns. And so those continue to be attractive to us, but to the extent we see any larger opportunities, we will look at that. There could be various reasons, market reasons that some of the larger companies might see it as a catalyst of a reason that they need to sell, but we haven’t seen or hearing anything about that currently.
Aldo Mazzaferro: All right. Thank you.
Operator: Our next question comes from line of John Tumazos with John Tumazos Very Independent Research LLC. Please proceed with your question.
John Tumazos: Thank you very much for very informative call. In terms of the impairment charges and volume declines generally, would you characterize as many small customers and end-markets being a little bit weak collectively or that there is more specific issues like energy in Texas being weak or Boeing squeezing the aerospace supply chain or something that’s more specific to a region or end-market in particular?
Gregg Mollins: It would be more associated with the oil and gas in the Southern region of the country. So you know Texas squeezes the impairment charge. So companies and we have several companies that were basically closing, their main focus has been the oil and natural gas and it’s just dried up tremendously for them and has been for a while and we don’t see that turning around with these particular companies anytime soon. So some of that business were actually going to be transfer to other energy related business that we have, basically in the Huston or Louisiana area. So we’re not going to lose the entire amount of business, we’re just going to reduce our exposure to that, cut our expenses back as best we possibly can. But everything John, related to that write down and all that is energy related.
Karla Lewis: And they are all small locations. Like Gregg said, they are kind of getting - we can still support this market and so I think that the impairment is not what is driving our guide of demanding down five, six, seven in the fourth quarter. That’s more normal seasonality and just in general as Gregg said demand being weaker because of the uncertainty out there, but that’s really pretty much across all markets, it’s not specific to any.
John Tumazos: If I could follow-up by asking a question on sheets and I’m just looking at Nucor’s financials, because they came out this morning too. In the September quarter versus the March quarter six months earlier Nucor’s prices were $195 higher for sheet that they were $5 lower for large structurals and only $28 higher for fabricated steel and it would appear as though they made more money in sheet and plate and made less money in big beams fabricated products. Are you seeing that certain sheets are more profitable and other end-markets are weaker construction and whatnot?
Gregg Mollins: No, as far as we are concerned there was a drop on structurals of 60 bucks a ton last month. So that was the correction that probably need to be made because there was a lot of discounting being had from suppliers to customers like ourselves that were below the book prices. So the book prices were in jeopardy, so I think there was $60 a ton drop okay it was appropriate. As far as profitability is concerned at Reliance, basically all of our products we have been driving gross profit margins like unbelievable in particularly over the last couple of years. So our margins basically on all the products that we have are a little bit better than they were a year ago and two years ago. So there hasn’t been any major change at least in our business other than the fact that we put a lot more emphasis on processing and providing our customers with the more finished product and charging them for it. So I hope that answers your question.
John Tumazos: Thank you very much.
Gregg Mollins: Thank you.
Operator: Mr. Mollins, it appears we have no further questions at this time. I would now like to turn the floor back over to you for closing comments.
Gregg Mollins: Thank you very much. Thanks again for your support and for participating in today's call. We would like to remind everyone that in mid November we will be in New York City presenting at Barclays Industrial Distribution Forum. And we will be there again in early December participating in the Collin & Company Energy and Natural Resources Conference. We hope to see many of you there and we hope you have a great day. Thanks for joining us.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.